Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the Westlake Chemical Corporation's Third Quarter 2015 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. After the speakers' remarks, you will be invited to participate in a question-and-answer session. As a reminder, ladies and gentlemen, this conference is being recorded, today, November 3, 2015. I would now like to turn the call over to today's host, Dave Hansen, Westlake's Senior Vice President of Administration. Sir, you may begin.
David R. Hansen - Senior Vice President, Administration: Thank you very much. Good morning, everyone, and welcome to the Westlake Chemical Corporation's third quarter 2015 conference call. I am joined today by Albert Chao, our President and CEO; Steve Bender, our Senior Vice President and Chief Financial Officer and other members of our management team. The conference call agenda will begin with Albert, who will open with a few comments regarding Westlake's performance in the third quarter of 2015, followed by a current perspective on the industry. Steve will then provide a more detailed look at our financial and operating results. Finally, Albert will add a few concluding comments, and we will then open the call up to questions. During this call, we refer to ourselves as Westlake Chemical. Any reference to Westlake Partners is to the master limited partnership, Westlake Chemical Partners LP. References to OpCo refer to our subsidiary Westlake Chemical OpCo LP who owns certain Olefin facilities. Today, management is going to discuss certain topics that will contain forward-looking information that is based on management's beliefs, as well as assumptions made by and information currently available to management. These forward-looking statements suggest predictions or expectations, and thus are subject to risks or uncertainties. Actual results could differ materially based upon many factors including the cyclical nature of the chemical industry; availability, cost, and volatility of raw materials, energy, and utilities; governmental regulatory actions and political unrest; global economic conditions; industry operating rates; the supply/demand balance for Westlake's products; competitive products, and pricing pressures; access to capital markets; technological developments, and other risk factors discussed in our SEC filings. This morning, Westlake issued a press release with details of our third quarter 2015 financial and operating results. This document is available in the Press Release Section of our webpage at westlake.com. A replay of today's call will be available beginning two hours after completion of this call until 11:59 PM Eastern Time on November 10, 2015. The replay may be accessed by dialing the following numbers. Domestic callers should dial 1-855-859-2056. International callers may access the replay at 404-537-3406. The access code for both numbers is 58784977. Please note that information reported on this call speaks only as of today, November 3, 2015, and therefore you were advised that time-sensitive information may no longer be accurate as of the time of any replay. I'd finally advise you that this conference call is being broadcast live through an Internet webcast system that can be accessed on our webpage at westlake.com. Now, I'd like to turn the call over to Albert Chao. Albert?
Albert Chao - President, Chief Executive Officer & Director: Thank you, Dave. Good morning, ladies and gentlemen, and thank you for joining us on our earnings call to discuss our third quarter results. In this morning's press release, we reported quarterly net income of $184 million or $1.39 per diluted share on sales of $1.2 billion. Our results this quarter reflect the value of our investments to fully integrate our Vinyls chain and the contributions from our acquisitions of Vinnolit and North American Specialty Pipe that were made over the past few years. Our third quarter results were impacted by the downward pressure on integrated olefins margins and ethylene prices resulting from the new ethylene capacity that came onscreen and by lower crude oil prices, which stall a 24% decline in the quarter, and which represents a 50% decline year-over-year. In spite of the lower prices in the third quarter, we saw solid demand for our end products and increased volume in polyethylene sales with improvement over prior year levels. We benefited from good domestic and strong export demand in spite of concerns over the pace and strength of global growth. Results for our Vinyls business also improved driven by the addition of Vinnolit and a gradual recovery of the housing and construction market. Now, I'd like to turn our call over to Steve to provide more detail on the financial and operating results for the third quarter. Steve?
Mark Steven Bender - Senior Vice President, Chief Financial Officer and Treasurer: Thank you, Albert, and good morning, everyone. I'll start with discussing our consolidated financial results followed by a detailed review of our Olefins and Vinyls segment results. Let me begin with our consolidated results. In this morning's press release, Westlake reported net income for the third quarter of 2015 of $184 million or $1.39 per diluted share on net sales of $1.2 billion. This represents an increase to net income of $16 million, or $0.14 per diluted share, compared to the third quarter of 2014 net income of $168 million, or $1.25 per diluted share, on net sales of $1.3 billion. Third quarter 2015 net income benefited from approximately $23 million, or $0.17 per share, primarily due to tax planning initiatives, resulting in increased tax benefits in certain prior years and the current year. We estimate that, as a result of the taxing planning initiatives, our ongoing effective tax rate on ordinary income will be approximately 33.5%. Additionally, our third quarter income from operations is lower by approximately $34 million due to both unplanned outages and planned maintenance turnarounds at various North American and European facilities. For the third quarter of 2015, net sales decreased by $65 million over the same period in 2014 due to lower sales prices for all of our major products, partially offset by higher sales volumes for most of our major products and from sales contributed by Huasu, our Chinese PVC operation, in which we acquired a controlling interest on June 1, 2015 and from Vinnolit, which we acquired on July 31, 2014. Third quarter 2015 income from operations was $254 million, a decrease of $53 million from the third quarter of 2014, driven by lower integrated product margins that were the result of lower sales prices and the planned and unplanned outages. These results were partially offset by lower feedstock and energy costs, higher production rates at our Geismar, Louisiana chlor-alkali plant, and the contribution from Vinnolit. Sales revenue in the third quarter was $1.2 billion, while income from operations of $254 million decreased by $41 million compared to the second quarter 2015. Operating income decreased due to lower integrated olefins margins caused by lower sales prices and by the unplanned and planned outages in the quarter. For the first nine months of 2015, sales revenue was $3.5 billion, an increase of $197 million, compared to the nine months ended September 30, 2014, driven by sales contributed by Vinnolit and stronger sales volume for most of our major products, partially offset by lower sales prices for these products. Income from operations was $779 million for the nine months ended September 30, 2015, compared to $822 million for the prior-year period, a decrease led by lower integrated olefins product margins due to lower sales prices and costs related to the unplanned and planned outages in the period. This was partially offset by increased production at our Calvert City, Kentucky facility following the completion of the feedstock conversion ethylene expansion project in the second quarter of 2014, higher production rates at our Geismar chlor-alkali plant, lower feedstock and energy cost, and a contribution from Vinnolit. Sales prices in the first nine months of 2015 were impacted by significant decline in crude oil prices. Our utilization of the FIFO method of accounting resulted in an unfavorable impact of $3 million pre-tax, or $0.02 per share in the third quarter, compared to what earnings would've been if we'd reported on the LIFO method. Please bear in mind that this calculation is only an estimate and has not been audited. Let's move on to review the performance of our two segments, starting with the Olefins segment. In the third quarter of 2015, the Olefins segment reported income from operations of $197 million on sales of $588 million, compared to operating income of $259 million and sales of $703 million in the third quarter of 2014. These results were due to lower integrated Olefins product margins, resulting from lower sales prices, partially offset by higher sales volumes for polyethylene, and lower feedstock and energy cost. Compared to the second quarter of 2015, third quarter operating income of $197 million decreased by $24 million, while sales of $588 million decreased by $33 million. The lower results were mainly due to lower integrated Olefins products margins, resulting from lower polyethylene sales prices and volumes. For the first nine months of 2015, sales revenue of $1.8 billion for the Olefins segment decreased by $333 million from the $2.1 billion reported in the first nine months of 2014, while operating income of $609 million decreased by $162 million in the same period. The lower operating income was driven by lower integrated Olefins product margins, primarily as a result of lower sales prices, partially offset by sales volumes – by higher sales volumes and lower feedstock and energy costs. Now, moving on to the Vinyls segment. The Vinyls segment reported operating income of $68 million in the third quarter of 2015, on sales revenue of $600 million, compared to operating income of $59 million on sales of $550 million in the third quarter of 2014. These increases are mainly due to higher caustic soda sales volumes, primarily resulting from higher production rates at our Geismar chlor-alkali plant and the contribution from Vinnolit. The increase in operating income was partially offset by approximately $21 million is lost sales, more production rates and costs associated with an unplanned outage at our Calvert City facility and several plant maintenance turnarounds at our Calvert City, Gendorf, Germany and Burghausen, Germany facilities. Results were also impacted by lower sales prices for caustic, PVC resin, and PVC pipe. Third quarter 2014 income from operations was negatively impacted by the unplanned outages at Calvert City, and Geismar vinyls facilities, and the effect of selling higher cost Vinnolit inventory recorded at fair value, which was related to the acquisition. Vinyls segment operating income of $68 million from the third quarter of 2015, decreased by $20 million over the second quarter 2015, while sales of $600 million increased by $36 million over the same period. Operating income was impacted by approximately $21 million related to unplanned and planned outages during the third quarter 2015, partially offset by higher sales volumes for caustic and PVC resin. For the first nine months of 2015, sales revenue of $1.7 billion for the Vinyls segment increased by $530 million from the same period in 2014, while operating income of $203 million increased by $127 million. The improved results were driven by higher integrated Vinyls product margins for the first nine months ended September 30, 2015, mainly attributable to lower feedstock costs and increased production at our Calvert City facility, following the completion of the feedstock conversion and ethylene expansion project, higher caustic soda sales volumes primarily attributable to higher production rates at our Geismar chlor-alkali plant and the contribution from Vinnolit. The increase in income from operations was partially offset by the unplanned outages and planned maintenance turnaround at our various North American and European facilities, lower sales prices for our major products and reduced sales volume in Europe related to widespread ethylene shortages in Europe. Income from operations for the first nine months of 2014 was negatively impacted by the effective selling, higher cost Vinnolit inventory recorded at fair value. The lost sales, lower production rates, and costs associated with the maintenance turnaround and ethylene expansion and feedstock conversion at our Calvert City facility and prior to the completion of these projects, lower integrated Vinyls product margins attributable to significant higher propane costs. Next, let's turn our attention to the balance sheet and the statement of cash flows. Cash generated from operating activities in the first three quarters of the year was $841 million and we have spent $329 million on capital expenditures and returned nearly $200 million to our stockholders through share repurchases, dividends or unit distributions to unit holders of Westlake Partners. As of September 30, 2015, we had cash and marketable securities for approximately $1.2 billion and long-term debt remained at approximately $764 million. Let me also give you some guidance for your 2015 and 2016 planning purposes. In the fourth quarter, we expect to have planned turnaround at our Lake Charles Louisiana and Longview Texas plant, so we'll have an impact of approximately $25 million pre-tax. Due to the efforts that I mentioned earlier, we estimate that our ongoing effective tax rate on ordinary income will be approximately 33.5%. Our guidance for 2015 capital expenditures is in the range of $425 million to $475 million and includes spending for the expansion of our Petro 1 ethylene unit in Lake Charles, Louisiana, which is scheduled to start up late in the second quarter of 2016. The work for this project will be completed in conjunction with the planned maintenance turnaround starting in the second quarter of 2016 that will last for approximately 80 days, and it will add approximately 250 million pounds of ethylene capacity once completed. We estimate that second quarter 2016 results would be impacted by our loss production, associated cost for this product – project, another turnaround activities in the quarter that will be in the range of approximately $45 million to $50 million. With that, I'll turn the call back over to Albert to make some closing comments. Albert?
Albert Chao - President, Chief Executive Officer & Director: Thank you, Steve. The current oil to gas ratio remains favorable for U.S. petrochemical industry competitiveness and continues to provide an advantage of lower cost energy and feedstocks from which we are well positioned to benefit. We are working to continue to capitalize on this advantage and complete the work to expand our ethylene capacity by approximately 250 million pounds in Lake Charles in the first half of 2016, in order to further lower our cost position and balance our ethylene integration. Our new world-class, low scale Geismar chlor-alkali plant, the feedstock conversion and ethylene expansion of our Calvert City facility and the acquisitions of Vinnolit and North American Specialty Pipe continue to make solid contributions to the operating margin and cash flow for our Vinyls segment and highlight our integration strategy and specialty products focus. Demand for our products has steadily improved over the past several years, and we expect this trend to continue. The consumer flexible packaging market that our Olefins segment serves continues to grow consistently and we're the leading producer in the Americas of low-density polyethylene, and look to grow with this market. With the completion of our ethylene integration in 2016, we'll be one of the most integrated and the lowest cost producers of PVC. Export opportunities for our polyethylene and PVC should continue to grow consistently as global economies recover and global GDP growth improves over current levels. We remain focused on identifying opportunities that will strengthen our product integration and grow our earnings potential. Thank you very much for listening to our earnings call this morning. Now, I'll turn the call back over to Dave Hansen. Dave?
David R. Hansen - Senior Vice President, Administration: Thank you, Albert. Before we begin taking questions, I'd like to remind you that a replay of this teleconference will be available starting two hours after we conclude the call. We will provide that number again to you at the end of the call. Operator, we're now prepared to take questions.
Operator: Thank you. And the first question comes from the line of Aleksey Yefremov from Nomura Securities. Your line is now open.
Aleksey Yefremov - Nomura Securities International, Inc.: Good morning. Thank you. I apologize if I missed it, but what was the impact of Vinnolit outages and U.S. outages in the third quarter?
Mark Steven Bender - Senior Vice President, Chief Financial Officer and Treasurer: The total outages impact in the third quarter was $34 million impact. That includes both European and North American impacts.
Aleksey Yefremov - Nomura Securities International, Inc.: And did you have any negative impact from shortage of ethylene in Europe in the third quarter?
Mark Steven Bender - Senior Vice President, Chief Financial Officer and Treasurer: The impact that we saw was in the second quarter, not in the third quarter.
Aleksey Yefremov - Nomura Securities International, Inc.: Okay. Thank you. And could you provide your thoughts on U.S. polyethylene pricing, outlook, and also the level of polyethylene inventory in the U.S.?
Albert Chao - President, Chief Executive Officer & Director: Yes, certainly. There is a price increase announced by members of (20:15) industry for $0.05 a pound, and it's effective on November 1. And I think the inventory level that was in for polyethylene in the U.S. about average for producers, and on low side for customers.
Aleksey Yefremov - Nomura Securities International, Inc.: Thank you very much.
Albert Chao - President, Chief Executive Officer & Director: You're welcome.
Operator: And our next question is from the line of James Sheehan from SunTrust. Your line is now open. James, check your mute button please.
Mark Steven Bender - Senior Vice President, Chief Financial Officer and Treasurer: Operator, can we move to the next one, we can re-queue Jim?
Operator: Thank you. And our next question is from the line of David Begleiter from Deutsche Bank. Your line is now open.
Jermaine Brown - Deutsche Bank Securities, Inc.: Hi, good morning. This is actually Jermaine Brown filling in for David. (21:15) questions. Can you talk about the caustic demand that you are seeing in the Asia-Pacific region and how it's tracking versus historical levels?
Albert Chao - President, Chief Executive Officer & Director: Well. We don't sell caustic in Asia, and we don't export caustic much internationally, but I understand that the chlor-alkali demand has slowed down a bit. So the caustic production probably have slow down a bit in Asia in the upcoming winter months. So, with the – if industry demand is weak for caustic, it may impact on the caustic production as well.
Jermaine Brown - Deutsche Bank Securities, Inc.: Understood. Thank you. And can you comment on the pace of the buybacks out through 2016?
Mark Steven Bender - Senior Vice President, Chief Financial Officer and Treasurer: Our program of buybacks was active in third quarter as well as second quarter of this year. And what we've said is, the program is an opportunistic program, but you see that we've been active throughout the second and third quarter. And as I mentioned, we've returned about $200 million back to shareholders in the form – and unitholders – in the form of share buybacks, dividends and distributions to our partners, unitholders. But as I say, the program itself is discretionary, but you can see that we've been active in the last two quarters.
Jermaine Brown - Deutsche Bank Securities, Inc.: Okay. Okay. So I'd assume it's fair to – it's fair to assume that the pace would continue at a similar amount going forward?
Mark Steven Bender - Senior Vice President, Chief Financial Officer and Treasurer: That's reasonable to assume.
Jermaine Brown - Deutsche Bank Securities, Inc.: All right. Thank you. That's all that I have.
Albert Chao - President, Chief Executive Officer & Director: You're welcome.
Operator: And our next question is from the line of Hassan Ahmed from Alembic Global. Your line is now open.
Hassan I. Ahmed - Alembic Global Advisors LLC: Good morning, Albert and Steve.
Mark Steven Bender - Senior Vice President, Chief Financial Officer and Treasurer: Good morning.
Albert Chao - President, Chief Executive Officer & Director: Good morning, Hassan.
Hassan I. Ahmed - Alembic Global Advisors LLC: Question around near-term effective utilization rates for ethylene. I mean, you guys yourself are talking about some turnaround in sort of Q2 of 2016. And it seems a fair number of people are doing that. So, are we setting ourselves up for a year in 2016 similar to 2015 where, all of a sudden, you see tight effective utilization rates on the back of a number of planned, and certainly some unplanned outages, and maybe potentially a spike in spot ethylene prices?
Albert Chao - President, Chief Executive Officer & Director: From what we understand, there is over 10% of capacity that will be offline, in turnaround, about March, April, May period. So potentially, the industry could be tighter at that time.
Hassan I. Ahmed - Alembic Global Advisors LLC: Very set. (23:58) And now, just a longer-term question. You talked about sort of LDPE demand and the strength associated with that and I guess one of the virtues of the polyethylene side of things has been that polyethylene supply demand has been tighter than ethylene supply demand, right. So, hence, sort of a pricing premium. Now going forward, as and when all of this announced North American ethylene capacity comes online, it just seems that a number of people haven't really announced their derivative intension, right. So, what are you hearing in terms of ethylene integration into polyethylene in general? Is the bulk of the ethylene sort of capacity increment going into polyethylene? So, that's kind of on the general side, and beyond that, LDPE in particular?
Albert Chao - President, Chief Executive Officer & Director: Certainly. I think you're right that with the increased capacity in ethylene, the ethylene prices has dropped as a result because of lack of derivative demand to catch up with the ethylene supply. I presume, people do expand without broadcasting to the market that people are looking at expansions down – derivatives. As far as new ethylene plants that being announced, they're usually tied with the downstream derivative plans and most of that is polyethylene, about 60% of ethylene today goes into polyethylene. But most of those capacities are not in LDPE, that's where West Lake's major product in polyethylene is. So we'll be seeing more of the commodity grades, of low in high density and less of LDPE in the market on a global basis.
Hassan I. Ahmed - Alembic Global Advisors LLC: Super. Thanks so much, Albert.
Albert Chao - President, Chief Executive Officer & Director: You're very welcome.
Operator: And our next question is from Arun Viswanathan from RBC Capital Markets. Your line is now open.
Arun S. Viswanathan - RBC Capital Markets LLC: Hey, guys. Thanks. So, I guess just curious on the caustic side. What are your observations in the market right now? Are your customers accepting the current $30, that we've seen go through the industries, and what's your, I guess, expectations for the rest of the $65, that's been announced?
Albert Chao - President, Chief Executive Officer & Director: Yes. I think in October, that the industry accepted a $30, $35 price increase for caustics, and the export demand is good as well. So we look forward to the rest of the $65 price announcement that's being put in place for the fourth quarter.
Arun S. Viswanathan - RBC Capital Markets LLC: And then, Albert, do you believe that the market is tight enough that these prices will stick well in the Q1 even when maintenance comes back online?
Albert Chao - President, Chief Executive Officer & Director: Well, it depends also on the demand for PVC. We're heading into winter months now. If the weather is severe, and PVC demand slows down a lot, then there is less production of flooring, hence less production of caustic.
Arun S. Viswanathan - RBC Capital Markets LLC: Okay. Thanks. And if I may, another one on your overall cash used priorities, you've discussed in the past, your preference for essentially buying assets in somewhat depressed regions, are you still seeing those opportunities? You definitely have quite a nice cash balance on your balance sheet. How do you expect to deploy that and maybe you can just discuss a little bit on the M&A pipeline right now? Thanks.
Mark Steven Bender - Senior Vice President, Chief Financial Officer and Treasurer: Yes. Arun, as we've said and as Albert noted in his closing comments or in prepared comments that we continue to look for opportunities to deploy this capital; and you see that in 2013 and 2014 that we acquired some I think attractive assets contributed to the results this quarter, and I'm speaking to the North American Specialty Pipe business that we acquired in 2013 and Vinnolit last year. We're continuing to look for good opportunities such as those and that's constantly something that we look at as well as the organic initiatives of course that we always pursue.
Arun S. Viswanathan - RBC Capital Markets LLC: Thank you.
Albert Chao - President, Chief Executive Officer & Director: You're welcome.
Operator: And our next question is from the line of Frank Mitsch from Wells Fargo. Your line is now open.
Frank J. Mitsch - Wells Fargo Securities LLC: Yes. Good morning. Steve, I'll take that last response as a yes, in terms of the M&A. Hey, there's a lot of capacity coming online in VCM and PVC or not a lot, but a material amount and this has not been the best of years 2015 in terms of utilization rates and demand. As we start to think about 2016 and a little bit more capacity out there, what are you guys thinking about in terms of the demand side? How should we start thinking about 2016 in terms of the – in terms of that part of your business?
Albert Chao - President, Chief Executive Officer & Director: Certainly, the U.S. construction market has improved albeit still gradually. I think September, we have the housing construction at 1.2 million rate, annual rate, which is better than last year, the average about 1 million unit. Hopefully, with the recovering economy, the next year, that construction and multi-family, single-family homes continue to grow, but also because of the advantage of the cost position we have in the U.S., U.S. is ready to export more PVC to international markets and international market demand is still good. And so, there will be more exports from the U.S.
Frank J. Mitsch - Wells Fargo Securities LLC: All right. So we – I mean, we have been pretty – we've been exporting quite a significant amount so far, so you anticipate that that will continue to grow if we do not see the sort of housing recovery or new – at least enough of a robust housing recovery, you would think that that's where we're going to put all the those pallets in?
Albert Chao - President, Chief Executive Officer & Director: Yes.
Frank J. Mitsch - Wells Fargo Securities LLC: And on the – as we think about the further upstream, I guess on the chlor-alkali side, a couple of competitors are at least talking about rationalizing some capacity there. What would your expectation would be for operating rates in chlor-alkali which is, I guess, it's been around the mid-80s in 2015. How should we be thinking about that in 2016?
Albert Chao - President, Chief Executive Officer & Director: I think probably will be the same ballpark. It's about 300,000 tons of chlor-alkali capacity coming on-stream next year as well. So probably we'll still be in the mid-80s.
Frank J. Mitsch - Wells Fargo Securities LLC: All right. All right. Thanks so much.
Albert Chao - President, Chief Executive Officer & Director: Yes, welcome.
Operator: And our next question is from Brian Maguire from Goldman Sachs. Your line is now open.
Ryan L. Berney - Goldman Sachs & Co.: Good morning. This is Ryan Berney on for Brian. Just had a quick question. Could you maybe give us an update on the planned turnaround you have early next year. You still kind of thinking it'll be around 90 days and then maybe comment on how that'll impact maybe the first quarter versus second quarter?
Mark Steven Bender - Senior Vice President, Chief Financial Officer and Treasurer: Yes. As we noted, it'll be a planned 80-day outage. It'll be completed in the second quarter. So, it starts earlier in that second quarter and will be completed in that second quarter. As I noted in our remarks, we expect the impact for those 80-day outages will be about $45 million to $50 million between that and some other planned turnaround activity occurring in that second quarter.
Ryan L. Berney - Goldman Sachs & Co.: Great. Thank you. And then, maybe could you also give a sense from a bridge perspective for the maintenance CapEx for 2015 versus 2016?
Mark Steven Bender - Senior Vice President, Chief Financial Officer and Treasurer: Well, I think the maintenance capital certainly is other than the turnaround related activity is going to be as we normally would expect it to be year-on-year. As I say, when I think of the total capital spending that we have for our business, maintenance capital tends to run in the neighborhood of about $150 million. But of course, it'll be higher in 2016, because we'll pull some of that into the work related to the expansion and debottleneck of Petro 1.
Ryan L. Berney - Goldman Sachs & Co.: Great. Thank you.
Mark Steven Bender - Senior Vice President, Chief Financial Officer and Treasurer: We haven't given guidance yet to the 2016 total capital spending budget. We'll do that once we finish our budgeting process.
Operator: Thank you. And our next question is from the line of Don Carson from Susquehanna Financial. Your line is now open.
Don Carson - Susquehanna Financial Group LLLP: Yes, question on polyethylene inventories. Albert, you mentioned you thought that producer PE inventories were at about average levels. When would you start anticipating that to rise because, for example, specifically in your own situation, as you take down Lake Charles, at what point do you start building inventory to see you through that turnaround? I know some of your competitors have even earlier turnarounds coming. So, do you expect that need to build inventory will offset any softness we're seeing in spot polyethylene prices?
Albert Chao - President, Chief Executive Officer & Director: Yes, we expect that people will start building more inventory heading to winter months and early part of next year, ready for the turn on spring, which will start most likely between March and May period.
Don Carson - Susquehanna Financial Group LLLP: Okay. And then finally, any update on the IRS MLP proposals? What further discussions have you had with them?
Mark Steven Bender - Senior Vice President, Chief Financial Officer and Treasurer: Don, we've certainly participated in the formal 90-day comment period that ended in early August. And then, there was a hearing that the IRS held in October, where they took formal comments from all the commenting companies, and we participated in that hearing process. No update from the IRS in terms of their timing, other than what they told us earlier this year back in May, which would be a targeted day of late spring or early summer of 2016 for final regulations, but no update since May on that timeframe. So, we're still working with that timeframe.
Don Carson - Susquehanna Financial Group LLLP: Thank you.
Albert Chao - President, Chief Executive Officer & Director: You're welcome.
Operator: And our next question is from Jeff Zekauskas from JPMorgan. Your line is now open.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Hi. Good morning.
Albert Chao - President, Chief Executive Officer & Director: Good morning, Jeff.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Hi. Are you surprised that the price of ethane isn't lower, with natural gas being pretty close to $2?
Albert Chao - President, Chief Executive Officer & Director: Well, the demand for ethane is still very strong. Ethane is still among the lowest destock (34:58) across the U.S., and there will be also ethane be exported in coming months. So, I think the ethane price is reasonable.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: So, some people think there is 500,000 barrels per day of ethane being rejected. Why would there be a $0.05 premium to the ethane price over its filled out (35:21) value, given there is so much rejection? Do you have an opinion on that?
Albert Chao - President, Chief Executive Officer & Director: No. Your guess is as good as mine, Jeff.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Okay. I noticed that you bought back about $50 million of stock in the quarter, and I think your share price averaged maybe $58 or so?
Mark Steven Bender - Senior Vice President, Chief Financial Officer and Treasurer: Jeff, it was $53, and we were – and you're right, we were in the mid-$50 in terms of millions of dollars, but it's about a $53 price.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: $53 price. Well, I think in the previous quarter, you bought back $60 million worth of stock, maybe at around $72? So...
Mark Steven Bender - Senior Vice President, Chief Financial Officer and Treasurer: Yes. That's right.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: That's right. Yes. So why is that you spent less, even though your stock price went down quite a bit?
Mark Steven Bender - Senior Vice President, Chief Financial Officer and Treasurer: Opportunities, Jeff. We continue to be opportunistic, and certainly we continue to be opportunistic and, as I mentioned to one of the earlier questioners, we'll continue to look at the program and buy shares.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: So does that mean that the probability that you might need cash for acquisitions went up?
Mark Steven Bender - Senior Vice President, Chief Financial Officer and Treasurer: No, Jeff. I think the level of granularity between the numbers of shares and the dollar amount (36:44) is relatively insignificant to the balance that you see that we had at the end of the quarter.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: How much do you still have to spend for your ethylene expansion next year?
Mark Steven Bender - Senior Vice President, Chief Financial Officer and Treasurer: Well, we're largely through the long lead items, and what we've said is that – and so, we're about half way through that spending. But the great majority of that spending will occur when we get to that second quarter of 2016.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: About halfway through. And forgive me; did you talk about what the total cost of the expansion project was?
Mark Steven Bender - Senior Vice President, Chief Financial Officer and Treasurer: We have – we've given no direct guidance on the amount of that, other than to say, and I'm talking about the expansion, not the turnaround-related items.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Yes, exactly, right. So, how much did you say you're spending for the expansion, or when you've done it similarly in the past? How much did you spend?
Mark Steven Bender - Senior Vice President, Chief Financial Officer and Treasurer: It was about – it was – the guidance range we gave was $350 million to – $350 million would be the midpoint of that range.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Okay. Good. Thank you so much.
Albert Chao - President, Chief Executive Officer & Director: You're welcome.
Operator: And our next question is from David Wang from Morningstar. Your line is now open.
David Wang - Morningstar Research: Hi. Thank you for taking my question. I was wondering if you can talk a little bit more about the polyethylene margin. We see more of the ancillary (38:11) margin come from that part of this quarter. I was wondering if you can talk about, if you think that this certainly could sort of tighten the future or if you think that these prices are sort of sustainable?
Albert Chao - President, Chief Executive Officer & Director: Well, Dave, the $0.05 upon price increase announced for November 1, and the demand has been quite strong, both domestically and internationally for polyethylene in general.
David Wang - Morningstar Research: Great. Thank you. And can you talk about what your thinking is around propane versus ethane for feedstock given the recent decline in propane prices?
Albert Chao - President, Chief Executive Officer & Director: So, propane price has fluctuated a lot. And in the summer time, it was very – advantaged over ethane, (38:58) and today, it's probably on par with ethane.
David Wang - Morningstar Research: Okay. Thank you so much.
Albert Chao - President, Chief Executive Officer & Director: You're welcome.
Operator: And our next question is from the line of John Roberts from UBS. Your line is now open.
John E. Roberts - UBS Securities LLC: Good morning, guys.
Mark Steven Bender - Senior Vice President, Chief Financial Officer and Treasurer: Good morning, John.
John E. Roberts - UBS Securities LLC: Once you finish the ethylene expansion, I think your capital spending covered is kind of fair. Do you have any engineering studies underway for anything else significant beyond that?
Mark Steven Bender - Senior Vice President, Chief Financial Officer and Treasurer: Yes. John, as you can imagine, we're always looking at opportunities to take further debottleneck opportunities in this business. And so, while we made no formal announcements at all, as you can imagine that's a constant study and analysis process that we're going to take.
John E. Roberts - UBS Securities LLC: Okay. And is there any update on the Eastman litigation?
Mark Steven Bender - Senior Vice President, Chief Financial Officer and Treasurer: No, John, I think you remember that there were two issues there, one was the directional flow and one was the tariff itself, in terms of the value of the tariff. The tariff itself has been agreed I think in terms of being market oriented and we've taken into the court system the other matter. And that's going to take some time to get resolved.
John E. Roberts - UBS Securities LLC: Is there a date for an initial hearing or is that finding meeting?
Mark Steven Bender - Senior Vice President, Chief Financial Officer and Treasurer: It'll be later this quarter.
John E. Roberts - UBS Securities LLC: Okay. Thank you.
Mark Steven Bender - Senior Vice President, Chief Financial Officer and Treasurer: You're welcome.
Operator: And at this time, the Q&A session has now ended. Are there any closing remarks?
David R. Hansen - Senior Vice President, Administration: We'd like to thank you for participating in today's call. We hope that you will join us again for our next conference call to discuss our fourth quarter and full-year 2015 results. Thank you very much and have a wonderful day.